Operator: Greetings and welcome to the CVR Partners’ First Quarter 2015 Conference Call. At this time, all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to introduce your host, Wes Harris, Vice President of Business Analysis for CVR Partners. Please go ahead, sir.
Wes Harris: Thanks, Kevin and good morning everyone. We appreciate everyone joining us today for the call. As usual, with me today are Chief Executive Officer, Mark Pytosh and Chief Financial Officer, Susan Ball. Before Mark and Susan discuss our recent results, I will provide the following Safe Harbor statements. In accordance with federal securities laws, statements in this earnings call relating to matters that are not historical facts are considered forward-looking statements. These forward-looking statements are based on management’s beliefs and assumptions using currently available information and expectations as of today. These forward-looking statements are not guarantees of future performance and involve certain risks and uncertainties, including those noted in our filings with the SEC. In addition, today’s presentation includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures including reconciliations to the most directly comparable GAAP financial measures are included in our 2015 first quarter results press release that was issued earlier this morning. Adjusted EBITDA was an example of such non-GAAP measures. Adjusted EBITDA represents net income, adjusted for depreciation, amortization, net interest expense, income tax expense and non-cash share-based expense – share-based compensation, excuse me. With that out of the way, I will turn the call over to Mark.
Mark Pytosh: Thank you, Wes and good morning everyone and thanks for joining us for today’s 2015 first quarter earnings call. As a follow-up to our strong 2014 fourth quarter, I am pleased to report that we kicked off 2015 with a successful first quarter. Financial highlights for the period included revenue of $93.1 million, adjusted EBITDA of $38.4 million, and net income of $29.8 million. In today’s press release, we also announced a 2015 first quarter distribution of $0.45 per common unit. The distribution will be paid on May 18 to unitholders of record on May 11. We discussed on previous calls that our major plant turnaround is scheduled for the 2015 third quarter. In anticipation of the 6 million estimated expense for 3-week turnaround, our distribution for the first quarter of 2015 includes the impact of a $3 million reserve. We anticipate an additional $3 million reserve impact to our second quarter distribution. During the third quarter, we expect to release the $6 million reserve. This will help partially offset the full impact of the turnaround, which is a combination of the estimated $6 million of expense in three weeks of foregoing production. As we look beyond 2015, we anticipate moving back to a 2-year cycle for turnarounds. As a result, our next major scheduled plant turnaround for Coffeyville is scheduled or targeted for the second half of 2017. At this point, we are considering setting aside a similar reserve over the seven quarters preceding the 2017 turnaround. Now, turning our attention back to this year’s first quarter supporting our results for the period was continued solid operating performance of the plant. During the first three months of 2015, the gas fire ran at 99%, the ammonia unit operated at 94%, and the UAN plant ran at almost 98%. Looking at product tons during the quarter, we produced 96,000 tons of ammonia. We purchased 21,200 tons of ammonia as feedstock and we converted the substantial majority of our ammonia into 252,100 tons of UAN. For the first quarter of 2015, we received an average realized gate price for UAN of $263 per ton. This is compared to the $247 per ton we recorded in the 2014 fourth quarter and the $253 per ton we reported for the first quarter of 2014. For ammonia, we received an average realized gate price of $553 per ton in the first quarter 2015 versus $547 per ton in the 2014 fourth quarter, and $479 per ton in the first quarter 2014. I will now turn it over to Susan to discuss our detailed financial results. Following that I will provide some concluding remarks and then open it up for Q&A. Susan?
Susan Ball: Thank you, Mark and good morning everyone. And as Mark mentioned net sales for the 2015 first quarter were $93.1 million. This is compared to $80.3 million in 2014. The key factors contributing to the increase were higher sales volumes and prices for both UAN and ammonia, as well as increased hydrogen sales to the CVR refining to adjacent refinery. The cost of products sold for the 2015 first quarter was $25.8 million as compared to $21.7 million in 2014. Driving this increase was higher sales volumes and third party ammonia purchases partially offsetting the overall increase were lower costs for regulatory required railcar inspections and repairs. Direct operating expenses were $24.4 million for the 2015 first quarter, just slightly higher than the $24.2 million we recorded for the same period in 2014. Selling, general and administrative expenses for the 2015 first quarter and the first quarter of 2014 were similar at $4.6 million for both periods. Finally, net income for the 2015 first quarter was 39% higher year-over-year at $29.8 million or $0.41 per a common unit. This is compared to net income of $21.5 million or $0.29 per common unit for the first quarter of 2014. Now looking at our capital spend, during the 2015 first quarter we spent $2.7 million on capital projects including $1.3 million for maintenance CapEx. For the 2015 full year we continued to anticipate to spend $10 million to $12 million on maintenance CapEx. Finally, our liquidity at the end of the 2015 first quarter remained strong as we had approximately $73 million in cash and cash equivalents and $25 million available under our revolving credit facility. In addition, our long-term debt remained low at $125 million. With that I will turn the call back to Mark for his closing formal remarks.
Mark Pytosh: Thanks Susan. At the end of March the USDA released its perspective plantings report that included a planning estimate of 89.2 million corn acres for this year. This is less and 2% lower than the 90.6 million acres of corn that USDA estimates were planted in 2014. As such a significant amount of nitrogen fertilizer is being applied by farmers during this year’s spring planting season. To-date we have sold a significant amount of our expected production of UAN for the 2015 second quarter. Combined with the actual first quarter pricing, we continue to expect our average gate price for the six months period of 2015 will be similar to the same period for last year. As we have discussed in the past we will not have a solid view of pricing levels for the second half of 2015 until we get closer to the fill season which typically begins in the second half of June or early July. At that point the industry will estimate the potential strength of the fall harvest and the related impact on year ending corn inventory levels. This will have an influence on the market view of how much corn can potentially get planted in the next spring which in turn could impact this year’s fill prices. Also impacting pricing fill pricing will be the additional nitrogen supply of Iowa and Louisiana scheduled to begin coming online towards the end of this calendar year. It is important to keep in mind that even with this new capacity, the U.S. will remain a net importer of nitrogen fertilizer with domestic prices influenced by the cost of imported tons into the U.S. Given this backdrop and solid industry fundamentals, we continue to have a positive view on the long-term health of the U.S. nitrogen fertilizer business and with our plant strategic location near the Corn Belt, CVR Partners is well positioned for success. We also continue to search for attractive strategic opportunities to expand beyond our current operations. We will be thorough and judicious in our evaluation of all internal and external initiatives and we will invest in opportunities that are expected to grow our distribution. Our focus continues to remain as it has historically on safely and efficiently operating the business and prudently deploying capital for the long-term benefit of our unit holders. With that we are ready to answer any questions you have. Kevin?
Operator: Thank you. [Operator Instructions] Our first question today is coming from Adam Samuelson from Goldman Sachs. Please proceed with your question.
Adam Samuelson: Thanks. Good morning, everyone. Congratulations on the strong quarter. Maybe first help us think through, I mean, where most – through April at this point, I mean, your decent way through spring demand, what visibility if any do you have on summer sales season at this point or is it just too early to tell?
Mark Pytosh: It’s really too early to tell. And we – it was a bit of a late start. So, we are – it’s picked up momentum here in the last week. And so things are moving faster and we are getting back on track to normal planting, but we really need to get through the middle of May to get the corn in and then start to look at what the side-dress is going to look like and that will really kind of tell us where things are shaping up going into the summer. So, it’s too early to tell, but what we are seeing so far is that it’s been a decent planting season, little bit behind, but things move pretty fast these days. So, no catch up here pretty shortly.
Adam Samuelson: Okay. And maybe along those lines, how do we think about the pace of this 2Q versus 1Q price realizations, I mean clearly industry fundamentals globally have been softer? Domestic UAN has held in a little bit better certainly than urea. I think the downtime probably is contributing to that, but think – couple of things through the cadence of the spot sales in the second quarter relative to the first quarter price utilization?
Mark Pytosh: Sure. We had – we have been selling – we have sold tonnage for end of the second quarter in the first quarter. UAN has held up pretty decently in the quarter. Urea has been soft. I don’t think that’s any surprise out there. And urea is the front end, the dry product gets supplied first and we are in the kind of the throws of that, but so urea that softness is it hasn’t has big an effect on UAN, but it’s certainly weighted a little softer than it otherwise would have been, but not dramatically changing the price profile. We would typically see in any given year slightly lower prices toward the end of the quarter as you get closer to the sales season in the front end. And so it doesn’t really look – I wouldn’t say it looks any different than what we normally see there and – but UAN has actually held up pretty good and UAN we think that we have pretty decent side-dress and in our region, Texas looks pretty good this year. And so Texas last year consumed a bunch of UAN towards the end of the quarter. And it looks like this year you are going to have a similar run down in Texas and that will help us where we are located in Coffeyville. So, yes, it’s been a little bit softer, but it hasn’t had a dramatic effect. And in fact, urea has recently rallied pretty decently in the last two weeks. So, it should help us as we get towards the end of the quarter and end of the sales.
Adam Samuelson: Okay, that’s helpful. Maybe just one more for me on capital allocation, any new color or thoughts on growth investments or the M&A landscape as you see it today relative to the last time we spoke if you want to take out?
Mark Pytosh: Yes. I think that we continue to see some interesting opportunities out there. I think the landscape is evolving with the new capacity coming on and some changes in what people are where they are headed strategically. So, we continue to evaluate opportunities for ourselves and see if there is good economic opportunity for us that would increase the distribution, but I think for rest of this year and into next year we are going to see some opportunities in the nitrogen business.
Adam Samuelson: And so you say that the opportunity side is richer today than it was 3, 6 or 12 months ago, is that a fair calculation?
Mark Pytosh: I do. I think it’s – some things are picking up. We are seeing more activity and different activity. And so there is more to look at now than there was 6 months ago.
Adam Samuelson: Okay, great. I appreciate the time. Thank you.
Mark Pytosh: Thanks, Adam.
Operator: Thank you. [Operator Instructions] Our next question today is coming from Lin Shen from HITE. Please proceed with your question.
Lin Shen: Good morning. Thank you for taking my question.
Mark Pytosh: Good morning.
Lin Shen: Hi. I just want to follow-up about this Q2 price question. You mentioned that you expect first half this year, the price is going to be similar to last year and already reported in Q1 the price is better than last year’s price, so that I guess should we expect Q2 price can be weaker than last year?
Mark Pytosh: It’s still early to call that on – versus last year. But typically we would see last year was a little bit different. But we would typically see a little bit of a decline in pricing again as you get towards the end of the fill season. So fundamentally, we would see the normal seasonal pattern there. But I wouldn’t say, it’s – we don’t see a big change in the pricing structure in the marketplace right now.
Lin Shen: Great. And also to prepare for the turnaround in the third quarter, you are going to reserve $3 million this quarter and a similar next quarter, does that mean that in the third quarter you will only lose about the three weeks of the volume but nothing, because you are going to reserve all the capital for these first two quarters, am I right?
Mark Pytosh: Yes, that’s correct. So, the expense, that we would normally show on the P&L have already been reserved. So, the only impact on our results will be fundamentally from the lost production.
Lin Shen: Great. And also last question for me is that you mentioned that you are seeing more activity in the – an opportunity in the M&A market. One of your competitor already publicly announced that they already hired a banker to disclose the asset for sale, which is very good location. So I am just wondering here what are you seeing about like do you think their market it’s going to be compatible for you to bid any asset or you think that probably the buyers limit, probably you have a good chance?
Mark Pytosh: Well, I think that we typically would look at any kind of nitrogen assets that are out there in the marketplace and there are several things that are out in the market that we are looking at. And so that’s where our core strength is in this company and that we would be typically looking at that, but I think there are going to be several things that are going to be potentially interesting for us and that it is going to come down to whether the economics makes sense for us or they don’t. But I think that things are changing in the nitrogen business. The structure, the market is changing and that will provide some opportunities for CVR.
Lin Shen: Because you just want to follow-up that, I mean, the only one wire is that your competitor another MLP is also trying to sell asset, but you mentioned there are a couple of things, so can you talk a little bit more about other than that?
Mark Pytosh: Well, we don’t really comment on activity that’s out there, but there are other assets that are out in the marketplace. So it’s not just that plant.
Lin Shen: Really. And also the last one is that, so I am just wondering like you talked this before your sponsor CVI probably will like to provide a capital if necessary, I am just wondering to see that was relating the sponsor to help you to make some deals?
Mark Pytosh: Well, I think that we have the flexibility with our C-Corp parent to – it gives us flexibility to look at things. And if we need capital we have already source of capital to drop on if needed if a transaction is large enough. So it gives us the flexibility to look at a lot of different things that might not initially fit well into the MLP, but come later. But it gives us that option to look at something that could potentially in the future help us and be dropped down into the MLP. So that gives us a little bit of a leg up and it gives us the flexibility to be creative and we will use that if needed.
Lin Shen: Great. Thank you very much. I appreciate it.
Operator: Thank you. [Operator Instructions] Our next question is coming from Vincent Andrews from Morgan Stanley. Please proceed with your question.
Neel Kumar: Hi. This is Neel Kumar calling in for Vincent Andrews. We didn’t trigger over that to farmers possibly substituting ammonia for urea given the difference in pricing. And we are just wondering if you have seen this trend at all?
Mark Pytosh: I would say that there was probably here in the spring application some use of urea more than probably took some acreage this year relative to both UAN and ammonia been priced at a premium to urea. So, we think urea took some acreage. I wouldn’t say it was a dramatic shift into urea, but I would say on the margin, urea probably took some, but UAN is a lot easier to apply. UAN is better when conditions are dry. So, UAN is – I think we are still going to have good share there. So, we had good ammonia runs as well. The interesting thing was – the crop was so large last fall. The ammonia run was constrained. And so we saw vigorous even though urea was cheaper, there was bigger ammonia run to catch up to what didn’t get applied in the fall. So, ammonia prices stayed strong in the marketplace. So, again, urea was softer, but it’s really firmed up here. And I think that we are probably reaching an equilibrium it didn’t pull UAM down. So, I think that period was little bit artificially low for urea.
Neel Kumar: I see.
Mark Pytosh: In that time period.
Neel Kumar: Great, thanks.
Mark Pytosh: Thank you.
Operator: Thank you. We have reached the end of our question-and-answer session. I would like to turn the floor back over to management for any further or closing comments.
Mark Pytosh: Well, again, thanks for everyone participating today and we look forward to sharing with you our second quarter results. Thank you very much.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation.